Operator: Good morning, ladies and gentlemen, and welcome to the Red Robin Gourmet Burgers Inc. First Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, part of today's discussion will include forward-looking statements within the meaning of federal securities laws. These statements are commonly identified by words such as continue, plan, expect, intend, project, should and other terms with similar meanings. These statements will include, but will not be limited to, statements that reflect the company's current expectations with respect to the financial condition of the company, results of operations, plans, objectives, future performance and business, including the company's traffic and revenue driving initiatives, intentions with respect to expense management, plans for deployment of capital and other expectations discussed during the course of this call. Although the company believes the assumptions upon which preliminary or initial results, financial information and forward-looking statements are based are reasonable as of today's date. These forward-looking statements are not guarantees of future performance and therefore, investors should not place undue reliance on them. Also, these statements are based on facts known and expected as of the date of this conference call and the company undertakes no obligation to update these statements to reflect events or circumstances that might arise after this call. Participants on the call today should refer to the company's Form 10-K and other filings with the SEC for a more detailed discussion of the risks, uncertainties and other factors that could impact the company's future operating results and financial conditions. The company has posted its fiscal first quarter 2013 press release and supplemental financial information related to the quarter's results on its website, www.redrobin.com in the Investors section. I will now turn the call over to Mr. Steve Carley, Chief Executive Officer of Red Robin. Please go ahead, sir.
Stephen E. Carley: Thanks, Nikki, and thanks, everyone for joining us on our call today. With me are Eric Houseman, our President and Chief Operating Officer; Denny Post, our Chief Marketing Officer; and Stuart Brown, our Chief Financial Officer. After Denny, Stuart and I deliver our prepared remarks, we will be available for Q&A. But first, I'd like to review our first quarter headlines, which we've included on Slide 3 of our supplemental financials. Overall, we continue to be pleased with our performance, and this quarter marked our 11th consecutive quarter of positive same-store sales. We also increased restaurant revenues despite having seasonality and marketing headwinds. As we said during our Q4 call in February, we expected sales and earnings to be negatively impacted due to our lapping of a Q1 2012 that had a week of strong holiday sales and our change in media timing. The impact in Q1 2013 was a shift of about $8 million of sales into the fourth quarter. Our year-over-year guest traffic was down 60 bps, and both net income and diluted earnings per share decreased compared to Q1 last year. Nevertheless, our continued same-store sales growth and our market share gains and the progress we're making on our key roadmap initiatives give us confidence that we are strengthening our business and positioning Red Robin for long-term growth and profitability. As you may recall, our strategic priorities and roadmap for 2013 and beyond are focused on 3 fronts: engagement, efficiency and expansion, as illustrated on Slide 4. Engagement is about how we connect with our guests, enhance their experience and ultimately, drive the top line. Efficiency is about increasing productivity and managing margins. And expansion is about growing our operational footprint and effectively deploying our capital. On our last call, I shared examples of initiatives we have in each of these areas. They're all queued up for deployment over time, some short term and some long term. The analogy we used is a Friday afternoon at O'Hare Airport with the planes landing, the planes on approach and planes queued up to the horizon, and that's what it looks like going forward with Red Robin. I won't be repeating all of these initiatives we've completed or have in the pipeline in each of these 3 focus areas, but I do want to provide an update on a couple of them, namely our brand transformation efforts and the development of our next-generation restaurant prototypes. Moving to Slide 5, as you know, one of the ways we're enhancing the guest experience is through our brand transformation work. This came out of a lot of work and deep guest insight and competitive benchmarking about where the Red Robin brand was winning and where we had opportunities. Our goal is to serve more guests, more often and leave them more delighted. I want to stress, this is a lot more than just new paint and wallpaper. We started this effort with a transformation of 21 restaurants late last year with varying levels of investment. We're pleased with the results so far, especially the restaurants that underwent a full transformation. That includes new planning and food presentations, service changes, full interior reimaging and exterior changes. To give you an idea of our conviction here, one thing we did is have every team member reapply for their jobs against new enhanced job specs. And not everyone got rehired. We're still deep in the testing phase of this initiative. And as we said before, we're going to take the full 6 months or so to evaluate the performance of the transformed units, and we'll have much more to share with you on the specific metrics at our Q1 call in August. In the meantime, Denny will provide some additional color on guest response to the transformations. And most importantly, some changes will pull forward through the entire system this year. Given the results to date, we've added plans to transform an additional 20 restaurants this year with the appropriate level of investment based on what we believe is the most attractive ROI for each unit. Slide 6 summarizes our work on our new restaurant prototypes. Our learnings from brand transformation design work and guest feedback have given us a lot of insight as to how we could better engage with our guests and elevate the Red Robin brand. We're using that insight to incorporate refinements with future openings, and we have plans to test a new restaurant prototype with 2 new sites to be developed later this year. This is where the engagement platform of our roadmap bridges to our expansion platform. I also mentioned on our last call that in the fourth quarter last year, we opened the first of our 4,000 square foot full-service Red Robin restaurants. Since then, we've opened another 2. And with this significantly smaller footprint, we couldn't be more encouraged with the results. The smaller units have a number of advantages, including greater flexibility in site selection as we expand with a much lower construction cost while still providing operating capacity for very healthy volumes. With these results and our successful relationships with landlords, we now expect to include 7 of the midsized units among the 20 new Red Robin restaurants we're opening and planning this year. Plus, we're going to do several new Burger Works units. And speaking of Burger Works, we've completed a number of important changes to these initial units, and we continue to evaluate Burger Works' performance in different types of trade areas as we set the expansion plans. We're currently working with landlords for a number of new Burger Works locations, including expanding the test to additional markets. With that brief overview of the quarter and several initiatives on our roadmap, I'm going to turn the call over to Denny to give you more perspective on our marketing initiatives. Denny?
Denny Marie Post: Thanks, Steve. I'm happy to share insights today about the guest response to BTI and what we'll be doing next on this very important multifaceted initiative. I'd also like to take this opportunity to speak very briefly about our new ad campaign and our media strategy. Plus, I'm going to provide a quick sneak peek of what's coming in the summer. Slide 8 illustrates our brand transformation work. To gauge guest response to our transformed stores and the associated server and presentation changes Steve alluded to, we used a variety of qualitative and quantitative insight tools. The patterns of feedback were both consistent and illuminating. We got a lot right. Our guests really appreciate the spaces and the environments we've created to accommodate everyone from adults out for an evening of beer and burgers to a 5-year-old celebrating their birthday with their family. They love the freshened look, the new plated presentations and the improved server interactions. The lobby functions much more effectively now and the bar is a cooler place to hang out. What else did we learn? Well, we did learn that we have an opportunity to add more whimsy back into the design, to deliver greater pop from the exterior, as well as dial up patio presentations, particularly where we have opportunities to increase year round seating and drive revenue. We continue to refine the design as we transform 20 more locations this year, optimizing the investment as we go for maximum return. We're more than happy with what we have accomplished so far, but we still aren't content to stand pat. We are going to keep improving and continue to evolve this work. While we finalize remodel designs, we have the opportunity to pull forward into this year the server, plating and menu presentation improvements. All our guests will soon be enjoying burgers on red plates with our famous bottomless fries featured in a new and fun way, along with reenergized service components to optimize guest engagement, tableside and particularly, in the bar. Starting with the upcoming burger news in our summer promotion and moving across the entire menu by the end of summer, our guests systemwide, both company and franchise, will soon be enjoying an upgraded dining experience. To ensure we have a steady base of guests crossing the threshold to experience our great new presentations, we have begun a new ad campaign tagged, "24 Burgers. A Million Reasons", created for us by our new partner, the Vitro agency. It's capped off with our distinctive Red Robin Yum! This new campaign features a spokeswoman who mirrors our 4-key brand personality and relates equally well to both our key target of adult women, as well as the men they make all the decisions for. You can see a screenshot of the new campaign on Slide 9. We have a new media strategy to support this approach, which without increasing national spending this year, allows us to post media and build critical top-of-mind brand awareness throughout the year. Our agency team pulled out all the stops to get the new campaign on air in record time, allowing us to capture 2 weeks of media in our Q1. Our copy testing and impact tracking to date show that we're off to a strong start. And with at least a million reasons to love Red Robin, there's a lot more creative runway ahead. We put a link on the Investor site if you'd like to view the first 5 spots in the new campaign. With a growing Red Robin royalty base, new ad campaign and some terrific new burger news set for this summer, we are rearing to go. Next week, we begin sneak peeks for our summer menu, which includes that exciting burger news and a pioneering new cocktail. We will also begin testing, emphasis testing, our first premium burgers in select locations. Just like our Tavern Double launch last year, the intent is that these will be permanent not limited editions to the menu, rounding out our barbell of burgers. I am proud of how our pipeline process is taking hold, beginning with the successfully launched beer shakes, 3579 apps menu and dessert, this summer's LTOs and rolling through core menu platforms, as well as some exciting new platform works in the future. With that, I'm going to pass it over to Stuart to speak about our financial results.
Stuart B. Brown: Thank you, Denny, and good morning, everyone. So we're very pleased with our first quarter results. I'll provide some color on this quarter's underlying performance, as well as our outlook, incorporating the progress we've made on the initiatives, as Steve and Denny reviewed. Our earnings per diluted share were $0.66 for the first 16 weeks of 2013. This is down from $0.71 per share reported last year due mainly to the sales shipped of an estimated $7.5 million to $8 million related to the fiscal calendar change shifting sales into the fourth quarter, as well as the lapping of more media weeks. If you assume a 25% flow-through, the impact of these 2 items reduced first quarter EBITDA by about $2 million and first quarter earnings per share by about $0.10. Top line sales this quarter were generally in line with our expectations despite tougher-than-anticipated market conditions. Comparable sales grew 2.2% resulting from price increases to offset inflation, and guests adding on more beverages and appetizers offset by a modest guest count decline. Our average check increased 2.8%, of which 1.9% related to pricing and the remainder due to higher sales of beverages, both alcoholic and non, sides and appetizers. Denny touched on our new appetizer program and dessert menu, which we kicked off on April 8, and is resonating well with guests. This growth more than offset the 60-basis-point decline in comparable guest counts. We're very proud of the initiatives taken by our marketing and operations teams, which allowed us to continue taking market share from competitors. According to Black Box Intelligence, we outperformed our casual dining peers by 360 basis points on guest counts during the quarter. This is our fourth consecutive quarter taking market share, and follows a 390 basis point outperformance last quarter. We attribute the outperformance to items like our great Tavern Double at an everyday value $6.99 with bottomless fries and Red Robin Royalty. Further, our higher income core guest base has shown improving consumer confidence, which is a competitive advantage. As discussed in our last call, our comparable sales are calculated comparing the 16 weeks of this quarter against weeks 2 through 17 of 2012 so they are not skewed by the shift in holiday week sales related to last year's 53-week calendar. It's also adjusted for $1.9 million of restaurant-level promotional costs, which were previously in other operating costs. Our restaurant-level operating profit margins improved 30 basis points to 21.5% in the first quarter from a year ago. The improvement was mainly a result of our leverage on our higher average check, lower hamburger and cheese costs and favorable mix. The cost savings that we pursue as part of project blueprint continue to offset some of the investments we are making back into the guest experience, including a new interactive iPad-based training program for all of our hourly team members, which we rolled out this quarter. And if you look at Slide 15 in the supplemental, you can see how we've improved restaurant operating margins over time, 330 basis points higher than Q1 2010. Selling, general and administrative costs were $37.6 million in the first quarter or about $1.5 million higher than we expected. The variance resulted primarily from higher performance-based incentive accruals, investments in staffing to support growth and culinary innovation, as well as an additional menu run. G&A includes costs related to the development, research and testing of a number of our roadmap initiatives including our new information technology for our restaurants, for in-transformation and more. Depreciation expense increased $1.2 million over 2012 due to the opening of new restaurants, restaurant improvements and the placing into service of our new financial systems. The decrease in interest expense reflects the impact of the debt refinancing late in 2012, as well as our lower average debt outstanding. We continue to generate significant cash flow, which we are investing to improve and grow Red Robin. Capital investments in the first quarter totaled $13.6 million with spending on our new restaurants, maintenance capital, kitchen equipment upgrades and IT systems. We remain pleased with the performance of our new units including the 4,000 square-foot midsize prototype, as Steve discussed, and have increased our planned new restaurant openings based on successfully identifying additional sites in growth markets and fill in trade areas. We now expect to open 20 full and midsize units in 2013, relocate 2 units and open several Burger Works. As you've gathered by now, the brand transformation initiative is showing good promise. We will pull forward some changes systemwide and expand the remodeling test to an additional 20 units this year. We will incur one-time operating expenses of around $800,000 to $900,000 and accelerated depreciation estimated to be $600,000, but pending the final selection of locations. We project spending $400,000 per remodel. We are also planning to expand 3 restaurants to add capacity. These, combined with increasing the number of restaurant openings, will result in 2013 capital expenditures of around $70 million. Our other expectations for 2013 remain mostly consistent with what we discussed on our earnings call in February. Comparable store restaurant revenues are projected to grow 2.5% to 3%. Restaurant-level operating margins are expected to be approximately 20.9%, as favorable commodity costs are partly offset by onetime rollout costs for brand transformation elements in restaurant systems. Our general and administrative costs are now expected to be closer to $87 million versus our $83 million to $84 million, as previously projected, reflecting the higher cost from the first quarter in addition to investing in talent to support the accelerated growth and ensure the proper testing and rollout of our roadmap initiatives. Depreciation is now expected to be a bit north of $59 million, which includes the accelerated depreciation mentioned a moment ago. We are confident in the investments that we are making in our people, our systems and our restaurants to enhance guest engagement, improve efficiency and expand our footprint, thereby providing greater value for all of our stakeholders. Steve, let me turn the call back over to you for some final comments before Q&A.
Stephen E. Carley: Thank you, Stuart. I'd like to wrap up our prepared remarks by reiterating how encouraged we are by the momentum we've achieved engaging our guests, and what that implies both for this year and beyond. We continue to raise the bar on great gourmet burgers and other craveable Red Robin entrées, apps and creative beverages. But just don't take it from us. Make sure you get to a Red Robin this summer and check it out for yourself. We've got an exciting summer menu lineup that launches on June 3, including an innovative and mouthwatering new burger, a new Tavern Double style and from the bar, some first-to-market cocktails and other refreshing beverages that you'll only find at Red Robin. Of course, this strong lineup and our continued success as a company is possible because of our talented and passionate Red Robin team. So again, I want to make sure to thank my fellow Red Robin team members across the organization for their commitment and outstanding work taking care of our guest each and every day. With that, operator, we'd be happy to take questions.
Operator: [Operator Instructions] Will Slabaugh with Stephens Inc.
Will Slabaugh - Stephens Inc., Research Division: I just wanted to ask if you could talk a little bit more on the remodels about the ROIs you're expecting or maybe beginning to see at the newly remodeled restaurants? And I know it's early there, but it seems like at least it's safe to say that the more intensive remodels are providing a superior return?
Stuart B. Brown: Yes. Well, this is Stuart. Again, we've been able to read the results for most of these have been done for 5 or 6 months. We want to continue to read them and watch guest count trends. But I can tell you, today, that 4 remodels are getting returns that are over 12%, well over our 12% hurdle, and that's about as much detail as we're going to give right now. We're going to provide some more color, as Steve said, next quarter.
Will Slabaugh - Stephens Inc., Research Division: Okay, great. And then one thing else I want to ask you about, the premium test that you mentioned, I wonder how big that would be across how many restaurants? And then if you'll be willing to tell where that might take place?
Denny Marie Post: We're starting small with a select number of restaurants in our area, and we'll measure that first and then decide what's next.
Will Slabaugh - Stephens Inc., Research Division: Okay. And maybe just lastly, if you could talk about any sort of interquarter trends that you guys saw? I know it was a very choppy quarter for most, just maybe from the consumers' reaction during what turned out to be pretty volatile months?
Stephen E. Carley: Yes. I think what we saw was pretty consistent with what most everybody else saw, though I don't think we were hit quite as hard in any of the periods. So again, strong January. I think February is where most people fell off, and that was a tougher month for us, and then some recovery back in March. I don't think we were that uniquely impacted.
Operator: Bryan Elliott, Raymond James.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: A question, those were a few of mine actually, but one I have, Stuart, did I hear correctly, the food costs, the burger and cheese costs were actually down in Q1? And I think I heard you say you expect commodities, overall, now to be down for the fiscal year?
Stuart B. Brown: Yes. Hamburger was down for the -- year-over-year was down actually in the first quarter versus a year ago, and cheese is favorable as well. So we expect commodities to be favorable for the year, but not down year-over-year. Looking at where hamburger prices are today, we expect the hamburger to be favorable to our previous guidance, really through the whole first half and then really start to pick up more in Q3 and 4 as we sort of cycle with somewhat lower numbers. And also, and in the back half, the other thing on COGS is, well, we've renegotiated our cod contracts. And that we actually saw 1.7 million pounds of cod. So we'll have favorable a cod pricing in the second half compared to a year ago.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: All right. And on the timing of the creative, the new campaign, remind me, I missed what the details on that one. Is it just breaking now or -- and are we doing national cable from -- right from the get-go?
Denny Marie Post: Yes. Brian, we are on national media including network syndication and cable. So you might see a pop-up. In fact, we launched in the voice, so we've got some higher quality programming that we've had in the past. We got 2 weeks in Q1, and then we're using a pulsing strategy throughout the remainder of the year.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: Okay. And as far as a percent of sales going, is the selling expense that we saw in Q1 in the press release, that's the same basis that we've historically seen the -- I think it was called advertising expense prior. Is that right?
Stuart B. Brown: Yes, right, exactly, but the sort of 2.8% of sales, and there's our contribution to the fund.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: Right, okay. And we're continuing to hold that as far as planned spending now for this year? Although we'd actually prebooked it, we didn't spend it in Q1. We're going to spend at Q2, Q3, Q4.
Stuart B. Brown: Correct.
Operator: Jeff Omohundro with Davenport & Company.
Jeffrey F. Omohundro - Davenport & Company, LLC, Research Division: Just sort of a follow-up to Bryan's question regarding media. One thing about lapping some more challenging upcoming comparisons in part, benefiting from the Tavern burgers' successful rollout last year, just wondering how you're thinking about drivers of traffic, how you see that splitting between the new media efforts and the new burger news that's upcoming? And also, how the new media strategy integrates with investments that you made in the social media? And how you might track the results from those 2 efforts?
Denny Marie Post: Terrific. Thanks. Jeff, I'll take that one. I guess, first, I'll go backwards. How we track it is waking up every morning and checking the sales and guest counts. So that's certainly most critical, but we are tracking using Nielsen, which tracks online, guests response, et cetera, and allows us to make realtime changes in our media mix. In terms of the overall media mix, I think it is a balance in terms of more investment this year. We're starting to move more aggressively toward social media in that kind of guest engagement, via social media because we think we can really win there. And also, it's a great tie to our Red Robin Royalty program. That said, our traditional media is very much still there. The whole discussion about really what you're asking is balance of message between LTO news and other elements of the campaign. I would say that the way the campaign is constructed, "24 Burgers. A Million Reasons", allows guests to discover something new about our brand. And so even though it may not be a limited time only A spot, and you'll see one of them on the 5 focused on bottomless fries, reaches out and touches some guests who may not have been aware of that proposition. So the campaign itself is designed to help people discover new things about Red Robin, into which we can drop LTO news when appropriate. Hopefully, that pretty much gives you an overview. I'd encourage you to look at the 5 spots and get some sense of that. But we will have more balance and a growing emphasis on social media and digital media over time.
Jeffrey F. Omohundro - Davenport & Company, LLC, Research Division: And on the subject of check growth in the quarter, how did that align with your goals in the period and how you see that evolving to the balance of the year?
Stuart B. Brown: Jeff, this is Stuart. A couple of different things going on. First of all, we've been continuing to work through the sort of the Take Back the Bar initiatives, knowing that beverage is really alcoholic and nonalcoholic remain an upside for us. We do a great job in Freckled Lemonade. It's really strong platform for us that we can lean into. But we know we've got more things, Denny alluded to, a couple of fun things coming this summer on the beverage side. In the appetizer side, we attested that late last year, the 3579, and we knew that was going to work well. So that rolled out on the new menu. And our new deserts was really a point where we just didn't have enough sort of small indulgences on the menu and that's what we rolled out in April. So your question is to wait a minute, are you going to be sort of essentially lapping Tavern Double, which wasn't a check issue, that was guest count issue, and bringing everyday value onto the menu. Well, now we've got some things that continue to bring people into the restaurant, but also help check.
Jeffrey F. Omohundro - Davenport & Company, LLC, Research Division: And lastly, on the guidance around Burger Works from 5 to 6 to several, how are you -- maybe give a little more granularity about how pleased you are with the progress of that. Has there been some refinement in target there?
Stephen E. Carley: Well, Jeff, as we talk, when we put these initial ones up, we went to a variety of different trade areas to get a feel for how effective they were. And we've also tested some stuff inside these restaurants including digital menu boards and a new POS system. So we're in the process of evaluating how these perform by different kinds of trade areas. We have learned that the POS system we did look at, which was different than the one we have in the big Red Robin's, did not meet our expectations. So we're in the process of swapping that out. And we've got -- we've done some great work in the middle of the P&L. That's not quite complete yet, but we really like the direction we're going there. And so we're fine tuning all the elements of the brand, including its look and feel and how much familial resemblance it will have to the big Red Robin, and we're taking our learning from brand transformation and applying that. So we're being very thoughtful and very prudent about where we're going with this when we want to get it right. And then we've got a long runway from there once we get this thing optimized.
Operator: Joseph Buckley, Bank of America.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Just a few questions on just the timing of things for the balance of the year. First, can you talk a little bit about price, what you took in the first quarter and what kind of runs off over the balance of the year, what your additional plans might be?
Stuart B. Brown: So we -- Joe, this Stuart. So we exited the quarter with about 2.2% in price total. So we took about 0.9%, just under 1% last year on October, and 1.5% we took in February this year. So we'll be cycling over that first 90 basis points later in the year.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And Stuart, the $800,000 to $900,000 of incremental expense, I think you said associated with remodels. First, how will that flow? And then secondly, what is that? Is that like almost like marketing expense to draw some attention to the remodels?
Stuart B. Brown: No. So the $800,000 to $900,000 is really pulling forward. There's a couple of different pieces of it. One piece is pulling forward, some of the brand transformation that Denny and Steve talked about, the new food plating, the presentation, some of the training that goes around that and in terms some of the service changes we're making. That's a big piece of it, as well as some of the IT systems we'll be rolling out. There'll be some training costs around that. The bulk of it will really hit in the third quarter.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And then you said as you go forward with the remodels, what key aspects of the remodels did you sort of, I won't say settle on, I mean settle on, but choose, select?
Denny Marie Post: I think the most important part for that is the elements that separate and provide us kind of unique zones for our guests, as I mentioned, everything from adults in the bar to families in another section of the restaurant and some transitional area in between. So the elements that help us create more intimate environments for the right kinds of parties and associated guests. I think also, again, the lobby has been a big win in terms of having a key host desk leading the charge in the lobby and just the sense of the guests knowing where they go to begin their Red Robin evening, as well as some of the other elements that worked very well for us, just the bright updated kind of fun components of the restaurant and of course, the plating and presentation. We know we have an opportunity to go back in and dial up, as I said, some of the whimsy around the brand and the design. But for the most part, I'd say the functional elements are really strong. The [indiscernible] also continues to be an opportunity for us.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: And then just one more on the timing aspect of things. You did 2 weeks of advertising in the first quarter versus 4 a year ago, I believe. How does it line up for the balance of the year? Is there any like big skewing of being on air versus not being on air or vice versa?
Denny Marie Post: Well, again, the strategy has shifted. So you're going to see us on air more often at more pulse and lower rates than we've been in the past. So it's a very different strategy, and will fully align with our LTO 12 weeks on a year approach.
Stuart B. Brown: So there'll be some variance that we see within the weeks. But within quarters, that should balance itself out with ratings.
Operator: Alex Slagle, Jefferies.
Alexander Slagle - Jefferies & Company, Inc., Research Division: A question on the components of the same-store sales guidance. It looks like you're looking for increased visits, and just wanted to kind of get your thoughts on that because you're happy with the first quarter to the point you see traffic being a little bit better than previous expectations or maybe a function of the acceleration in the new creative in the 2 weeks that you saw there in the first quarter?
Stuart B. Brown: Alex, this is Stuart. Yes, I mean, obviously, the biggest component continues to be price which, for the year, will average about 2%. And to the remainder is a combination of check in terms of guests adding items on appetizers, desserts, beverages, as well as potentially the guest counts. You have to remember, in the first quarter, if we hadn't had this media shift, the $7.5 million to $8 million, guest counts would have been positive 0.5% to 1%. So if you sort of normalized for that, we would've had actually positive guest count in the first quarter. We're not depending on positive guest counts. We continue to, obviously, keep taking market share from our competitors, but I think it'll be a combination of average check, as well as some guest count.
Alexander Slagle - Jefferies & Company, Inc., Research Division: Okay. And the total Red Robin builds, that's 20 now versus the previous outlook, 15?
Stuart B. Brown: Yes, the 20-plus several burgers, we'll just call it 20 to 23 total including Burger Works versus last year. Last quarter, we said 20, which was included 5 Burger Works.
Alexander Slagle - Jefferies & Company, Inc., Research Division: Right, okay. And the 20 remodels that you talked about, timing of that, did you mention that?
Stuart B. Brown: Yes. We're just settling on the locations now, so there'll be some permitting and things like that. So this is really all the back half of the year.
Operator: Jeff Farmer, Wells Fargo.
Jeffrey D. Farmer - Wells Fargo Securities, LLC, Research Division: Most of these questions have been asked, but I'm curious, so just taking advantage of the opportunity to ask you guys about your thoughts on the casual dining environment? In general, just from a promotional standpoint, are your peers getting more and more aggressive? Do you feel that we've stabilized at this point? What's your view?
Stephen E. Carley: Jeff, this is Steve. Yes, I look at the casual dining landscape and it continues to evolve into what we would've thought was a QSR landscape 10 years ago. There's continuous promotion across multiple dayparts by every single major player. And if they see any softening in their traffic, they go deeper into price point-oriented kinds of stuff. Simultaneously, there appears to be a growing bifurcation between brands that are relevant and differentiated and giving the guests, meeting the guests' expectations and those that aren't. And that's kind of a secondary theme which is why we're so focused on this brand transformation element of dramatically enhancing our guest service and our guest experience and continuing to elevate our food and its presentation to build upon what we've learned through a lot of guest insight. Competitive stuff is a terrific brand equity, and we want to continue to differentiate and become even more relevant not only to our core group of families, but also, as Denny mentioned, to continue to claw back that place for adults, particularly young adults, as a great spot to go to have beer with your pals.
Jeffrey D. Farmer - Wells Fargo Securities, LLC, Research Division: All right, that's helpful. And then just one final question, different direction, and you did touch on this a little bit, but it sounds like 4 franchise units opening planned for '13, again as you guys pointed out, it's been a while since you've seen that many. What's sort of behind the scenes there? How are these guys sort of rekindling developments well? What's your expectation for 2014 and '15? Are we going to see this number continue to grow in the franchise development side?
Stephen E. Carley: The franchise, these, of course -- their optimism continues to grow as their business strengthens. But we've brought them in, and been very transparent and open with them on what we're doing and where we're trying to go. And that fuels their optimism. They continue, especially the smaller franchisees, those with 2 to 3, 4 units continue to struggle with financing, surprisingly, in this kind of environment, still true. But I think you should look at 3 to 4 new units in the outyears, too, as a good base.
Operator: Chris O'Cull, KeyBanc.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Denny, I may have missed this, but do you expect to increase the amount of media impressions with this new strategy and without increasing the percent -- of the spending of the percentage of sales?
Denny Marie Post: Yes. Here he is, it's a complete sentence, yes. And also, we've shifted target toward a stronger key female decision maker in the household. So we're buying differently now, and that comes from the insight about who makes the decisions in the household about where to go and particularly, related to Red Robin.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Okay. And so it's a combination of a new buying agency plus just better consumer insight into what media you're buying?
Denny Marie Post: All of the above, yes. We're very pleased with our new buying partner.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Great. And then there seems to be 2 approaches to remodels in the industry, companies that target strong year 1 sales that try to sustain that lift and then another group that creates sales layers into their design to build on the comp each year. How would you describe Red Robin's approach?
Stuart B. Brown: Chris, this is Stuart. Yes, I think we're still learning and testing. The next 20 we're going to do is we've picked using the same analytical software we did to analyze the first 21. So that where there's someone there that based on the demographics and things of those locations, we think we'll do very well, and other ones that are sort of in different demographics that we need to test and do some more research on. So we're still learning.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Is there going to be significant changes? I mean, it didn't sound like there are going to be significant refinements to this next group?
Denny Marie Post: No. They'll be fairly close, but I think again because we got most of it right. So we just have an opportunity to go back in and dial up some of those elements.
Stuart B. Brown: You saw it. So we appreciate you coming to visit, and we'll take some of the advice that you gave us when you were out there, so...
Denny Marie Post: Everyone's a designer now. Everyone's an interior decorator, we've discovered.
Operator: John Glass, Morgan Stanley.
John S. Glass - Morgan Stanley, Research Division: I'm not a decorator, so -- but I do have a question on the prototypes. Can you just talk about the learnings of the midsize prototypes that you've built so far? Are you able to get the same kind of sales productivity as the full size and maybe because they're in smaller markets? And how do you think of these, as you said, is partial, that's going to be 6, your existing 20 this year. Do you envision evolving entirely to smaller prototype? Or is it going to be kind of dependent on the market size?
Eric C. Houseman: John, this is Eric. We have 3 of them in the ground so far and another 2 under construction, currently. We're real happy with the sales performance. Obviously, at a much reduced cost of capital, the hurdle rate in terms of sales was much, much lower to get a 30% to 40% return on cash on cash. To the point that I think it's a little bit of that is fueling some of the franchise growth because we see the great returns. Still, the lot -- full bar, still our full menu. It's the hurdle rate. So we're really pleased with the performance so far. And to your point, I think you nailed it on ahead, it just gives us another tool in the toolbox when we're looking at real estate across the country, to go in so many different areas that we may have not been able to get into with a successful square foot big box.
John S. Glass - Morgan Stanley, Research Division: Thinking also just to clarify a couple of things. I wasn't clear on the food cost commentary. I think at least the beginning of the year, you'd said or maybe late last year is sort of single-digit inflation. You saw deflation this quarter, but you're expecting still inflation, but at a reduced rate this year. Is there a rate of inflation you're not targeting for '13?
Stuart B. Brown: Yes. So just [indiscernible] is built into our operating margin goals, but we expect commodity inflation this year to average about 3%. So deflation, it was only on hamburger, not all the other categories.
John S. Glass - Morgan Stanley, Research Division: Got you. But year-over-year you were down in food cost. Maybe that was some promotional activity as well or mix?
Eric C. Houseman: Yes. There's certainly some mix, and you get some leverage, obviously, on the higher beverage sales and things like that.
John S. Glass - Morgan Stanley, Research Division: Got you, okay. And then just another clarification, on the Burger Works strategy, from 5 to 6 to -- you're saying several now. Is that -- I mean, how do you define that? It sounds like you're still refining the concept a little bit. So are you slowing it down or speeding it up?
Stephen E. Carley: Well, John, this Steve. I think if you can interpret several as more than 1 and several less than 10. One of the things we're learning in the real estate market, which is no news to those guys who also cover fast casual, is this 2,000, 2,200 square foot box in a great trade area as an end cap is the hottest piece of real estate in the country right now. Everybody wants that exact piece. We find that we're somewhere between 6 and 10 folks talking to a landlord on that particular piece of property. And so going after those is a little more problematic. Number two, once we get them, it only takes 90 days to build out. So we're not trying to be cute here, but there's just a lot of moving parts on that particular piece of real estate. And once we get several closed, we can have 2 or 3 opened in 90 to 120 days. So there's a lot of variability. We're currently looking at markets outside of Denver, and that's exciting, and that's one of our objective, is to get some more experience outside of our core market.
John S. Glass - Morgan Stanley, Research Division: So it sounds that more it's like the variability you still want to commit because of real estate availability, not a viability of concept issue or still need to refine the concept issue. Is that fair?
Stuart B. Brown: It is overwhelmingly the former. We are still doing some refinement and improving the financial performance, but the real estate and the availability of the sites, the competition for those sites is a big challenge.
Operator: Peter Saleh, Telsey Advisory Group.
Peter Saleh - Telsey Advisory Group LLC: I want to come back to the remodels. I just wanted to ask is, are there going to be any changes to the back of the house or are all the changes going to be primarily at the front of the house and the exterior?
Denny Marie Post: The primary changes that we have just tested are front of house. We have completed our kitchen transformation initiative, which has involved some changes to the heart of the house to improve overall quality and flexibility for our menu. But those are separate and they've gone systemwide prior to us doing any front of house remodels or exteriors.
Peter Saleh - Telsey Advisory Group LLC: Great. And Steve, can you just talk about the to-go sales? I know it's one of the initiatives you guys had some quarters ago. Where do you stand on pushing more on the to-go sales?
Stuart B. Brown: Peter, we know to-go is a big opportunity for us. Our competitors who do a good job with it, are doing 10% of their sales in to-go, we're probably doing 2% of our sales in to-go. It requires a real focus around both the heart of the house and then the guest facing part of it. It is in our strategic plan. We are going to get after it here in the next year or so. But it's one of those planes that's queued up to land here in the next 12 to 18 months. We don't want to do it haphazardly, and so we're going to take the time to get it right. But it's relatively complicated. You should take a look at the folks that are going a good job with it. They not only have great heart of the house support, but they have great guest facing kinds of service and technology to make to-go work. So we know it's an opportunity, it's queued up, and we're going to take it in sequence when it makes sense.
Peter Saleh - Telsey Advisory Group LLC: Great. And then just a little bit of housekeeping. Alcohol, as a percentage of sales, where do you guys stand and versus where you were last quarter?
Stuart B. Brown: We continue to do, make great progress around that. In Q1 of '13, our bev alcohol percent was about 7.5%. That's up 40 basis points from a year ago Q1 '12. And as you know, we've talked about trying to grow bev alcohol about 50 basis points a year, slow and steady. It took us 10 years to lose it, and we're not going to get it back all at once, but we're excited about what the summer has to offer with some of these best first one-of-a-kind cocktails that we're going to be bringing out. Also, to correct, our to-go percentage is just a little under 5%, which is about half of where we are.
Eric C. Houseman: Up 20 basis points from last year.
Stuart B. Brown: And it is up 20 basis points from last year. Thank you.
Operator: Steve Anderson, Miller Tabak.
Stephen Anderson - Miller Tabak + Co., LLC, Research Division: A housekeeping question, this time on the G&A line. Just sort of can you go through with me like where the jump was and that jump versus historical versus not going to recur in the following quarters or in '14?
Stuart B. Brown: Yes, Steve, this is Stuart. So G&A, if you sort of look at a couple of different things going on now. Obviously, I mentioned on the call, we had a little bit of incentive-based pay that was a little bit of a onetimer in the first quarter that's been $700,000. The bulk of it really is increased salaries. And let me just touch for a second on where it is that we're investing because that's we're talking about increasing growth in the other initiatives. We've got to, with the increased growth, that sort of puts us over the tipping point with a new restaurant opening director. So we're going to have to add a new opening director. In the northeast, where we're growing, we're going to add 2 restaurant directors. We're going to add a -- we've hired on-staff full time now, a labor engineer to help us with labor management. On Red Royalty, which you've seen such great success on, we've added a director of Red Royalty. So we're investing, making investments in a number of the areas of our business. And they're not capitalized, but these are things that as we go through and make these decisions, one of my job's to be sure we got the discipline to get in returns on all of these. And so these are things that we all feel good about, so those areas that we're adding and investing. And that's really the primary driver of G&A. Again, keep in mind, we do have G&A. We've got IQ, which is our new IT systems. There's about $4 million worth of expenses related to that this year going through G&A. Again, that won't go away next year because we've got some other pieces we'll add onto that. Labor management's about $1 million of expense going through G&A. So there's some other things going on there also.
Operator: [Operator Instructions] Bryan Elliott, Raymond James, for a follow-up.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: I wanted to circle back to the learnings from the 21 initial physical brand transformation test units. So a key aspect of your business has been the appeal to families with small children, and you've talked a lot about those of us that are beyond that, not necessarily wanting, or even those that have small children but getting away for the night, not necessarily wanting to sit next to a high chair. And so in context of that, the fear that maybe the changes might alienate that key part of your audience, can you give us some help on what your follow-up research and all other anecdotes may be on how the families with children are responding to sort of arguably being corralled into the playpen and high-chair area?
Stephen E. Carley: Well, Bryan, those were your words, not ours.
Denny Marie Post: Yes.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: I'm not a decorator either, but I am creative with words.
Denny Marie Post: Well, I will say from the very start, our goal has been more guests, more often, more delight. So we weren't looking to give up anyone, and there is no evidence of any deterioration at all in our family base. We continue to be, as one guest described us, as the beacon of hope for large parties, no matter what's the age of your party. And we went out of our way to create some new interaction, particularly with our younger guests that we're getting very good feedback on. I'd be happy to go sit with you. I won't put you in a high chair, but we can try it out at the back. But yes, I mean, there is no evidence that there's been any deterioration in our appeal. We still stand as a place to take a great evening with your family.
Operator: That's all the questions that we have in the queue. I would like to turn the conference back over to Mr. Carley for closing remarks.
Stephen E. Carley: Thanks, everybody. We appreciate your time and attention, and we'll talk to you here in August.
Operator: And that does conclude today's teleconference. Thank you all for joining.